Operator: Ladies and gentlemen, thank you for standing by. This is the event operator. Welcome to Veric's Results Presentation for the Third Quarter of 2024. Following today's presentation, a question and answer session will be conducted. If you have a question and are joining the event by telephone, please press star. A replay will be available on Veric's website later today, November 7, 2024. I would now like to turn you over. Go ahead, sir.
Mark Bristow: Thank you very much, and good morning and good afternoon, ladies and gentlemen, and a particularly warm welcome to all of you who have made the effort to join us in person here in London today. As the gold price continues to be driven up to record highs, it is prudent to reflect on the cyclical nature of markets and the fact that mining, in particular, is not great. Veric's continuing investment in its future and its ability to cover and unlock the value opportunities embedded in its global asset portfolio has positioned us ideally to capitalize on current market fundamentals as well as to continue to thrive throughout the future cycles, which are inevitable. I will also reinforce that we are building a business that will grow profitably without the need for mergers or acquisitions, and therefore, we are looking at external opportunities for the future.
Mark Bristow: This is the customary notice regarding forward-looking information, and I encourage you to study it. 2024 has been a challenging year in many ways. Nevertheless, we continue to make good progress across all fronts. Production guidance is within range, albeit at the lower end of that range. Special highlights include higher performance in our gold operations driven by the higher gold price and cost discipline. This is in addition to the ongoing investments in infrastructure in Nevada gold mines, in particular. The ongoing plant ramp-up at our flagship growth project, Pueblo Viejo, and the progress that we are making with the new generation of value creators, notably Lamana and Ricodeq. Adjusted net earnings per share rose by 33%. The quarterly dividend was maintained at 10 cents, and we repurchased $95 million of shares through buybacks. This is a snapshot of our operating results. Gold production was in line with that of the previous quarter, while the increase in cost per ounce was a function of planned maintenance and royalties on a higher gold process, partially offset by disciplined sustaining capital spend to get a stable all-in sustaining cost. Copper production was up 12% quarter on quarter, and costs were reduced. Our operations continue to deliver robust cash flows, generating $1.18 billion for the quarter. Free cash flow was up 24% year on year, to $444 million, the highest since the first quarter of 2021. The 33% increase year on year in net earnings per share and the 25% increase in adjusted net earnings per share compare favorably to the rise in the realized gold price over the same period. Net debt of cash was reduced by 27% quarter on quarter to $500 million, ensuring that our balance sheet retains its sector-leading status and the flexibility, most importantly, to fund our future growth projects.
Mark Bristow: On the safety front, our journey to zero, which I am personally leading, was regrettably impacted by a fatality at Kobali. This has reinforced our determination to achieve our goal of zeroes. The fact that we otherwise recorded four lost-time injury-free months for the first time since the merger and that the injury rates keep coming down are encouraging indicators of progress. We remain committed to operational excellence with a continuing focus on embedding a strong safety culture across all our operations. Barrick's holistic approach to our business encompasses managing the many mine closure liabilities we have accumulated along the way. We are methodically moving to non-operating tailing storage facilities, with the largest liabilities to safe closure. By the end of the year, we will have safely closed seven facilities, with five more planned for next year, and we are rolling out a plan for the remaining 27. It is worth putting this into perspective because we have already reduced the associated closure liabilities for Barrick by more than $1 billion, which represents a 36% reduction in this liability. Barrick's sustainable mine closure is a key part of our plan to create long-lasting value. As the industry's reclamation costs and liabilities are projected to grow significantly in the coming years, our proactive effort to mitigate closure risks is differentiating Barrick from its peers.
Mark Bristow: On the operational side, we start our North American operational review at Nevada, where a substantial investment in replacing equipment and restoring infrastructure is effectively recapitalizing the Nevada Gold Mines complex for the next ten-plus years. New running plans for all the mines are keeping development ahead of operational stopes, and Brownfields exploration aims to replace this year around 75% of reserves depleted by mining. The second phase of the Gold Quarry Roaster expansion was successfully completed, and both roasters are now operating at full capacity. The New Goldrush mine, which was just a concept at the time of the merger, is also continuing to ramp up production. Barrick's existing former project deserves a slide to itself, and so I will talk about that a little later. These are the operating results for Nevada's four operating mines, all tracking for a strong fourth quarter, and Nevada Gold Mines aims to achieve its guidance for the year, albeit, as I said in the introduction, at the lower end. It is worth noting that we are able to optimize the combined gold production from Carlin and Cortez by treating the two entities as a complex. For example, at times, it is possible to increase production with additional high-grade refractory ore from Cortez, processed at the newly expanded Gold Quarry Roaster, which, in effect, will replace feed from the lower-grade Carlin stockpiles. At Turquoise Ridge, the team is targeting higher production on the back of quarter three productivity gains and improved reliability of the backfill infrastructure and the autoclave. Nevada, as I have often said, is Barrick's value foundation, and now you can see why. Nearline exploration continues to identify and grow exciting expansion opportunities close to existing infrastructure, as well as larger step-outs with the potential to yield the next generation of tier-one discoveries. The 14 million-ounce Greater Leeville project is developing into a major growth driver that could double or triple Carlin's reserves, extending its life well beyond 2045. New growth prospects defined in the Greater Leeville area will be followed up by aggressive drilling next year, and recent drilling at Hansen within the Cortez district has confirmed a long strike potential over 1.2 kilometers from the well-defined heart of Hansen's ore body. Deposit model upgrades at Turquoise Ridge have led to the definition of several new mine targets with the potential to add to the 11 years of mine reserves. Notably, since it was created five years ago, Nevada Gold Mines has replaced all the gold that it has mined during that period, and our current reserve grade is higher than when we started, largely because we have recut the Gold Quarry pit and left out some of the lower-grade reserves.
Mark Bristow: Turning now to Barrick's 100% owned Fourmile project, we kept it out of the Nevada merger because it was clear at the time that the market did not recognize our view of its value. Since then, our work on the project has confirmed that it is a world-class asset with grades more than double those of Goldrush, and potentially this project has a value that is bigger than our entire 61.5% holding in the Nevada Gold Mines joint venture. As you can see here, there is potential to significantly increase the extent of the current ore body model. We are now drill testing potential access development to the main ore bodies, and this is all designed to help us with the scoping work for how we proceed with the pre-feasibility study, which is scheduled to finish this year, and then we will move towards a feasibility study program starting next year.
Mark Bristow: Leaving North America and moving down to Latin America and Asia Pacific, in this region, the ramp-up of the Pueblo Viejo plant expansion delivered a 23% increase in quarterly production and reduced unit costs, while Veladero continued its steady performance. That is important because, when you look at that, and I will show you that just now, that is really the driver of value for that part of the world. The Porgera team also deserves a special mention for revitalizing the long-mothballed mine and achieving a 64% quarter-on-quarter production increase in Q3 in the face of enormous challenges, including natural disasters and ongoing travel conflicts in Papua New Guinea. Just as a reminder, that Pueblo Viejo, which had an uncertain future at the time of the merger, has been completely reinvented and is now on track to sustain gold production at an annual average of more than 800,000 ounces to 2040 and beyond. Clearly, significant improvements in production, recovery, and costs, as you can see here. This $2 billion-plus project is still a work in progress, as we are fine-tuning the plant and advancing the new tailings storage facility. As we show you every quarter, here you can see a timeline of what has been done and what remains to be done to achieve our target of an 80% recovery rate for this year. Had the commissioning not been plagued by major equipment failures and, in particular, the collapse of the new crushing conveyor structure, we would have reached that goal much sooner.
Mark Bristow: In Latin America, we have also rationalized our historical portfolio with a focus on quality prospects with tier-one potential, which is being progressed rapidly by drill testing. We have effectively wiped the slate clean and started afresh. In South America, two large systems, one gold and one copper, have been defined in Peru, where drilling permitting is progressing, and an excellent set of opportunities is emerging in Ecuador. In the Dominican Republic, drill-ready targets have been defined around Pueblo Viejo, and regional greenfields programs are progressing in the district. While in Argentina, our focus remains around Veladero, looking for high-grade targets, and in particular, a standout target right now is defined as the Ortego trend.
Mark Bristow: Over in Pakistan, the Reko Diq copper-gold project, another hidden gem we uncovered in the Barrick portfolio, is on track for delivery of its feasibility study by the end of this year. In the meantime, the project management and construction teams are being recruited, long lead items are being ordered, and the infrastructure is being prepared for the transition from the study phase to the execution of the early works. When it goes into production in 2028, this multigenerational mine will be one of the largest of its kind in the world. It remains a mystery to me why the market still does not recognize the enormous value it will bring to both Barrick as well as the Balochistan and Pakistan economies.
Mark Bristow: We move now to the African and Middle East region, which delivered its usual reliable performance. It was only after the merger that the potential value of the closed mines in Tanzania was unlocked. Lumwana in Zambia, which had not made a profit since its acquisition in 2012, was also recognized as a new value creator. They now rank amongst our greatest success stories and largest cash generators of the group. In Mali, the Loulo-Gounkoto complex increased production by 5% quarter on quarter, and we expect that full-year production will be at the top end of its guidance range. You will all be aware that we are engaged with the country's transitional government about ways of giving the country more of a share of the economic benefits generated by the complex while ensuring its sustainability. For more than thirty years, Barrick and before it, Randgold, have had productive partnerships with the Malian state, which weathered many changes of government, including previous coups, and a range of differences that had to be overcome from time to time. We are committed partners, and we are working hard to produce a mutually acceptable outcome.
Mark Bristow: We return now to Kibali, Africa's largest gold mine, and Barrick's leader in renewable energy, thanks to its three hydropower stations. Its new solar and battery storage plant, designed to complement the hydropower supply, will be commissioned next year, and when it is commissioned, it will increase the renewable component of Kibali's energy requirements from 81% to 85%. In fact, six months of the year, the renewable portion of our power generation will be 100%. Despite the lower grades in quarter three, Kibali's cost profile is still one of the lowest in the industry, and this will improve further with the higher grades and production ramp-up forecast for quarter four. In our ongoing quest to uncover new open-pit and underground opportunities around the mine, Brownfields exploration work continues to develop the ARC target area, where drilling is identifying additional mineralized loads, further confirming its potential to host a high-grade deposit less than four kilometers from the Kibali plant, as well as returning significant intercepts along Kibali's foundational KCD ore body.
Mark Bristow: As I have already pointed out, Tanzania has also been a real value contributor to Barrick as well as the Tanzanian government. Two mines that were not operational at the time of the merger have now been transformed into significant contributors to our bottom line, showing what the right people with the right strategy can achieve. It was here that we first formalized our partnership with the government through the establishment of Twiga, a benefit-sharing joint venture, which we have since replicated at Porgera. The Lumwana copper mine in Zambia is another asset that was first restored to profitability and is now being groomed as a world-class operation through its Super Pit expansion project. Its feasibility study is scheduled for completion by the end of the year, and it is expected to go into production in 2028, the same year as Reko Diq, achieving our strategic objective of becoming a significant copper producer. The project was launched with a groundbreaking ceremony recently attended by the Zambian president, and meanwhile, there are lots of preparatory activities as listed on this slide.
Mark Bristow: As already shared with you, Barrick is projecting a 30% growth in the production of gold equivalent ounces from its existing assets as we continue to advance our growth projects and unlock the many other value-adding opportunities still embedded in our portfolio. In addition, Barrick continues to lead the industry in ore body expansion and has more than replaced the reserves it mined over the past five years and is forecasting to substantially grow both its gold reserves and copper reserves again this year. Significantly, the ounces that we have been adding were at the same or better grade than the reserves that we mined. Since the merger in 2019, Barrick has organically built an industry-leading balance sheet through reducing debt by $3.5 billion, while at the same time investing $11.2 billion in developing long-life mine plans and returning more than $5 billion to shareholders. Despite the multiple increases in the gold price over this period, global gold demand is again projected to reach record levels for this year on the back of the return of Western investors into the metal via the gold ETFs. Gold equities, on the other hand, continue to underperform the gold price, and that is the opportunity for both us and our investors. With our disciplined business approach and solid growth prospects, Barrick is a stock that offers real upside in both value and returns. And as importantly, we have the world-class teams to be able to deliver on our ambitions. Thank you, ladies and gentlemen, for your attention, and we will stand by for questions. We have got pretty much the whole team out today to be able to support the questions. We will start here in this room. So any questions from the room? Yep. There we are.
Daniel Major: Hi. Dan Major from UBS. Yeah. A couple of questions. First one, so a slightly higher level. You have indicated you would be tracking towards the low end of production guidance. And in your materials, you highlight that spot gold price implies about a $25 delta on the costs. If we think about the outlook into next year and with a focus on NGM and PV in particular, is it fair to assume the exit rate from this year from a production perspective and a cost perspective implies some moderate downside to the previous guidance you gave for 2025?
Mark Bristow: Yeah. So, Dan, if you look at our report side, NDNA, the guidance is that PV is still ramping up into next year, and we went through that last quarter, particularly on the recovery side. And the big work stream we have got going at the moment is the Gold Quarry pit, which I touched on in the introduction. We had the big sidewall failure on the Gold Quarry pit. And what we have done there is we are replanning that pit, and we do not have a good understanding of exactly what that profile is going to be. But what we have done with the team, we have a new team in Nevada, a new executive team, is that we have really guided them to leave some of the low-grade material that was always in that plan out and redoing it. And my guidance to the operating team in Nevada is, yeah, we would rather people focus on margins and profit long-term profitability than gold production. But we will update the market in some detail at our investor day presentations on the 22nd of November, and we hope to have our two plans on that together. I think the other drivers, and really that you saw that with PV, you get the production up, you get the cost down. The cost control in LATAM is very good. I mean, we are going to make guidance on costs, and not on production. But that really shows you the leverage on the cost in PV, which is one of our low-cost producers. On the other side, Turquoise Ridge now is again making progress, and it has the same dynamic as PV. So that again, Turquoise Ridge will come in at the bottom of its guidance, maybe a little bit below. But if you do the math, it is still a significant growth for quarter four. And so we will see the benefit of that. And you will start to really see, I mean, you can see it already. It is a high-grade mine. Yes, sir. Production right. And we had this, we stopped that in quarter two and had a really catch-up on the backfill infrastructure. And we have had ongoing challenges in the Sage Mill autoclave. We have rebuilt the entire CIL circuit. Yeah. We have had to do a lot of backfill investment. And we carry that in also all-in sustaining costs because the production is not increasing. So that is our protocol. We do not sort of try and bluff it. Gross capital. And you will see at the end of the day, we have had the same conversation, and you were around 2011 when everyone got confused about what cash costs were. I remember that. They made their own definitions. Well, at the end of the day, we are very disciplined in the way we define our cost. So that is another driver. And then Cortez is also going to be, in fact, it is looking like it is going to be above its guidance. That is because of what I explained to you, Cortez, as we ramp up, we have access to higher-grade refractory ore, and a lot of the feed in our plan at the moment is stockpiles out of Carlin. And so we offset that. And we are managing that. And that is what we said right in the beginning. And remember, we did not have the Long Canyon out of the portfolio then. You know, it was prematurely closed, given what we expected it to be. And so we are moving underground. We are moving to more and more refractory ore, and that is why the Gold Quarry expansion was important. And that is also sustaining capital because it is part of that transition to higher-grade underground ore. So those are the drivers, and Kibali, as I mentioned, is another high, it has got a much better grade profile for quarter four, so that is also going to drive our production.
Daniel Major: Thanks for that. Just a follow-up on that. And the subject of sustaining CapEx. I see it is coming down in NGM sequentially quarter on quarter, but could you just walk us through the profile, the key projects, and then when we look out in the next couple of years, what is the delta on sustaining CapEx in NGM as you tackle some of these issues?
Mark Bristow: Well, we have got to spend a bit of time on the investor day detail. Because if you look at the underinvestment in capital, both in Barrick and particularly at Newmont, it was material, and we will show you that proof of graph. The driver was Barrick was, you know, single-mindedly focused on paying down its debt. It was high grading the asset. And so when we got there, there was no developed reserves ahead. And the Newmont assets had effectively, and I am sure if you guys had spoken to some of the Newmont people, certainly the ones that were there at the time, they would have told you that, you know, they were not investing in Nevada. And so when we got there, the mine plans were 12 to 18 months behind. That is what we have been catching up. And the investments we have made are Sage Mill. That is the whole mill. So from retrofitting most of the components around the autoclave, the geohoe, pumps, and all the big valves. And Barrick runs the biggest portfolio of autoclaves in the world. And so, you know, we definitely did not have an autoclave setup that was best practice. And the same with the Gold Quarry roaster. It was ineffective. It was high cost. And it was, you know, we needed to do that. And the way we upgraded that was that we did it in two shutdowns. So we have just finished the second shutdown to be able to get it. And now it is up at its new nameplate. And the same with Goldstrike. We had to do some catch-up and new in Goldstrike because, again, that is a world-class roaster. It is the lowest cost roaster in the gold mining industry. But it, you know, people had neglected things like process controls, etc. And we have been retrofitting or bringing those back up to speed. We are still busy with that. And then it is mobile fleet. Both open cast mobile fleet and also underground fleet. And so we have got a program. It is still ongoing. And it will, you know, we are scheduling them out. We are also scheduling rebuilds, and we have been doing this for the last couple of years as well. And there is some, yeah, there is a number of, I think, 71 trucks are the first sort of tranche of replacement. And so those are the drivers, the primary drivers. And then the other component is the development. In other words, catching up to make sure because as we go underground, we become mining constrained. We are process constrained now, but as we move underground, and the way to keep the flexibility in Nevada is to build that flexibility underground because the cost of extra roasters, we are not there yet where we can motivate an extra roaster. So we need the flexibility so that we can sit with options. So when the roaster goes down, we have access to higher-grade feeds so that we can catch up, and we all get back into the full cost. So that is really the focus. And those are, that is really, and then on top of that, it is people. And, you know, again, you will appreciate I have always invested in people. More turnover act. The big focus now is automation. Because of the cost of labor in the US. And so we have got a big focus on that. Across the board, and that is where we will start those, particularly on automated vehicles. And then, at the same time, it is worth pointing out that we have beefed up the skill base in PV to be able to support this expanded project, and we are building the tailings dam, which is a plus billion-dollar investment on its own. And then, we have staffed up for Lumwana, and we are largely finished with the staffing up on the leadership of Lumwana, the labor will still come. But we are already building those accommodation units. And we are close to complete on the leadership and the Reko Diq construction team. There is a lot of work to do in Reko Diq as far as training the labor. And we have got all that in place now, and we are training, you know, from junior school to technical training colleges, to universities, and then we are building an international, what we call it, international student group, which is all Balochistan graduates out of various universities, which will become the leadership when we start the commissioning. So a lot of people investment, a lot of foundational investment on building that next foundation. And it is on that basis that when we forecast, we will bring the all-in sustaining cost down. And right now, we have got, you know, all-in sustaining cost depending on the mine, is somewhere between just under $1,000 to $1,150. And then on top of that, a normal sustaining number is about $2 an ounce. I am talking about per ounce now. And we have got another $200 on top of that, which is really rebuilding some of the infrastructure. And I am speaking broadly. Each mine is slightly different because of its, you know, its overall base cost.
Daniel Major: Okay. So medium term, there will be about a $200 delta reduction in that by 2027.
Mark Bristow: Rachel, work it through. And again, in our investor day, we will unpack that and show you it.
Daniel Major: Thanks. I will let someone else have a go.
Alan Spence: Hi, Mark. Alan Spence, BNP Paribas, and a few from my side. Just first one on CapEx guidance. It implies a quite a big pickup in the Q4 spend. Is that all allocated, or have you been maybe a bit more efficient and that can be a bit lighter than overseeing?
Graham Shuttleworth: Let me ask you. Is this on? This one? Yeah. It is, well, as you could tell, we are guiding to be within guidance. As always with capital, there are some swings in roundabouts, so there is going to be some expenditure in there, which is slightly different from what we would have planned in 2024, and there is going to be some expenditure that was planned in 2024, which will inevitably roll over into 2025. But invariably, that just means we kind of, you know, manage that longer-term capital profile over the life of those assets. So yeah, we are comfortable with that guidance as it stands at the moment. And, obviously, that will reflect in our guidance on our all-in sustaining costs as well, where we have indicated we still believe we will be within the range that we provided at the start of the year, albeit adjusted for that higher gold price impact.
Alan Spence: Okay. On reserve replenishment in the release this morning, it notes kind of confidence in a strong replenishment net of depletion, including big contributions from Lumwana and Reko Diq. If you just looked at the operating assets, would it be a similar view you are looking at net increases and maybe which mines are you seeing the best opportunity?
Mark Bristow: You ready for this?
Simon Jimenez: Yes. So as Mark said earlier, for North America, we are tracking at about 75% replacement of all of the net depletion. Africa overall is looking at a net positive at the moment. And then LATAM, different between the different assets, there is some potential positive metrics being unlocked at PV through the ongoing TSF expansion work. Where is Porgera? We have got some quite significant updates in the mine plan, particularly on the open pit, which will be as we bring unlocking some of that pushback that we have been talking about for quite some time. We have started that drilling, been drilling through the course of the year, and so the first portions of those open pits will be starting to come into our reserves.
Mark Bristow: And then just on the Reko Diq and Lumwana, those are big step-ups, and those are the additions. So copper both and about how many million ounces of gold in Reko Diq for our account, about 13. Thirteen million ounces. So we but again, we will be giving a lot more detail at the investor day coming up.
Alan Spence: Last one for me. Just a quick one. The environmental rehab provisions, it is impressive how much the reduction has been there. Is it all kind of what you would consider best in class now, or is there maybe more opportunity for it to reduce?
Mark Bristow: So according to the international tailing standards of which we are a founding member, we have a safe closure definition, which is the sign-off of a facility by independent experts. And Barrick has always had a stat, you know, it is an industry leader in its oversight of tailings dams. It has an independent tailings board that oversees our tailings rehab and our designs and our continued compliance of all our tailings dams. And so, and when I got to Barrick, you know, Barrick does, you know, people always miss the liabilities you buy when you do M&A. No one ever does that work. And so we ended up with a significant number of dams, sometimes with having bought assets that we never ever mined. I have got the most expensive hat in the world called Homestake. But maybe, Grant, who leads our sustainability side, can just comment on our philosophy.
Grant Beringer: Yeah. I mean, I think you talk about being industry-leading. I think we certainly are. I think the approach that we took after the merger was that we were not going to kick that can down the road in terms of closure. We were going to proactively manage it, and I think you have seen it in the numbers. I think one of the biggest focuses for me and the team has been long-term water management. We do not believe that, you know, water treatment in perpetuity is a closure option. So we have really looked at those, seen what alternatives we have in terms of passive water treatment or eliminating the need for water treatment so that we can safely close those sites. There is still work to be done, but as you can see, we have made a lot of headway. And I think it is that proactive management of those closed sites, but then also our concurrent rehabilitation of those operational sites. We have got targets that we have set for each of the sites, roll up into a regional level and then group. And, you know, we review those on a monthly basis, and we are tracking well ahead of those. And that is also key to reducing our liabilities while we mine.
Mark Bristow: And one of the big drivers of our margin is managing that nonproduction cost, which is related largely to this. We have got sort of a bundle called interest. And then we get some interest back on that because we have got a cash position and then the closure liabilities. And we have brought that down substantially, and this year, we will take Pierina to a place where there is a big step down in ongoing costs, and then we start heading towards closure. And the same with the Pascua-Lama. Yeah. We have brought that cost down because the challenge that I gave the team is we are going to engineer the closure. So instead of just maintaining the sites, we are going to engineer the closure. So we have got a full closure team. And so that nonoperating cost component of our closure teams is reducing all the time, and that hits the bottom line as we progress. And we will get out of that quite quickly. I mean, we have got lots of older dams, but they are not at risk, and it is a matter of just closing them properly.
Alan Spence: Thank you.
Mark Bristow: Anybody else? So we move to the people on the call.
Operator: Certainly. If you are using a speakerphone, please pick up your handset before pressing any key. To withdraw your question, please press star then two. Our first question is from Lawson Winder with Bank of America Securities. Please go ahead.
Lawson Winder: Thanks very much, operator, and hello, Mark and team. Thank you for today's update. Can I get an idea from you guys? I suspect we will get some of this at the investor day, but I thought just maybe an early hint as to what you are thinking about for 2025 CapEx directionally. So 2025, total CapEx versus 2024. And then any thoughts on which direction sustaining would be going and growth separately.
Mark Bristow: So, Lawson, I think the, as I said, there is a lot of work in progress at the moment. We have some specific projects that materially impact those numbers. Given you some guidance in the MDNA. A heads up. We gave you guidance last quarter. We need to finish the work, and so the intention is to give you that directional steer at the investor day, and that will be ahead of our final guidance, which we will give you at the quarter four meeting. So I think I will stick with that. Do you want to say something? Yeah. Okay. Well, Graham is going to say something.
Graham Shuttleworth: The only thing I would add, Lawson, is, you know, as we have guided, we have got two big projects that are scheduled to start next year. So directionally, CapEx is going to be up.
Mark Bristow: That is growth CapEx. That is all. Yeah. That is growth CapEx. I mean, Lawson is asking for the sustaining CapEx. And again, you know, we have, you know, the big thing here is, is this industry making real money out of mining its own reserves? And, you know, that is where we are driving Barrick. That is our absolute focus. And so, you know, moving allocating to capital to growth capital is like a defeats that object.
Lawson Winder: Got it. Very fair point. And thank you for that color, both of you. I also wanted to touch back on the reserve and resource update. So you discussed Fourmile, that the, you know, you are in the process of updating the model. And looking to revise the current Fourmile resource estimate from last year, including a disclosure on an updated PEA. Is that something we can expect to be complete for the year-end 2024 R and R update?
Mark Bristow: Yes. The answer is yes.
Lawson Winder: I like short answers. Thank you. And then on the R and R update, is the plan right now to stick with the $1,300 per ounce gold price assumption? And then, you know, how does that then correlate with your ultimate budgeting, gold price assumption for next year? I mean, certainly looking at spot pricing versus the $1,300 per ounce, that is a really yawning gap, and it would seem that, you know, that probably needs to narrow at some point. Have you shared your thoughts on that?
Mark Bristow: So we are forecasting around $1,400. The inflation is basic inflation CPI over the last three years is substantial in the twenties. And mining has been higher. So and we have, and on top of that, we have dropped the grade from the grade that were mined in a lot of the Barrick mines when we took over. So we have squeezed that margin and delivered more efficiency. And that is the optimum way to manage ore bodies. And so, for us, and when you look at it, and I will pass it on to Simon to explain briefly, but again, we are going to spend a lot of time on this in the Investor Day. But at $1,400, we deal on all our major deposits. We can manage it. And it delivers real returns over the whole life of those reserves. And that is the way we test it. So you must not confuse. So we have always stuck to the reserve price that delivers our ore bodies, our world-class ore bodies. If you go higher, in all our major ore bodies, so Nevada, PV, Kibali, Loulo-Gounkoto, Porgera, all the big deposits, Veladero, we would move out of the ore body and you dilute the grade. And so when you do that, you dilute the NPV, the value of the asset. And so we manage that. And when we run our budgets, we always use the reserve grade. And because why it highlights the gaps and the issues. Whereas if you run our mines at $1,900, you cannot see what is good and bad. And then we lift that price, the commodity price, whether it is gold or copper, to closer to the spot for the next year. That is the way we run it, and we use consensus on the long term. On the valuations. So that is how we manage our business. There is a lot more to it. And copper is slightly different because both feasibility studies are being run at $3, and all our mines work at $3. In a year's time, we might well adjust that because we know that that will still keep the ore bodies intact. And it will not push us outside the ore body. And if you do, if you follow the strict signs, and you overstate the gold price, what you do is you need to put in extra capital to be able to deliver the same production profile. So that is a high level. That just explains where we are. I think the rest I will leave to Simon to take you through in some detail at our investor day.
Lawson Winder: Okay. Thank you very much, Mark.
Operator: The next question is from Anita Soni with CIBC World Markets. Go ahead.
Anita Soni: Hi. Good morning, Mark and team. My question was around Nevada Gold Mines. I think 2024 was a bit of a dip year on grades. Are you still expecting an uptick into 2025 on the grade front and specifically with Carlin? I am assuming it was Carlin because Carlin was down this year.
Mark Bristow: So, you know, Anita, certainly Turquoise Ridge is going to drive grade. And Cortez as well as we ramp up. The big sort of variance is what we do with Gold Quarry open pit and the other open pits. And that is the focus of Simon and the team as we finalize our guidance going forward. And, again, you know, that will change the overall feed grade. But that is our focus. We want to build a profitable business in Nevada, and that is our, and then we will share that with you in the investor day. The key is Turquoise Ridge is a world-class, you know, it is one of the highest-grade deposits in the world. And so we need to get that right, and getting that right does lots of things. It brings down the cost. And it delivers production growth, and likewise with the ramp-up in Cortez. And then we have got the other opportunities that we are looking at, both in the Goldrush and I mentioned Hansen and the work that we are doing there. And that is going to also impact the flexibility of Cortez. And Carlin is the one that we really have to spend more time on. We have got the Crossroads open pit, I think, clearly understood. We are busy still scheduling the mine plans, but we now really understand that deposit. And we have got a big focus on the open pit mines for the next life of mine update.
Anita Soni: Okay. And then could you just clarify again to me what you are, the struggles you are having at Turquoise Ridge? I assumed it was paste backfill is the issue. Or are you?
Mark Bristow: So it is just backfill infrastructure. And it, I mean, to be frank, it was backfill infrastructure, process reliability, and some management issues. We fixed the management issues. We are pretty much on top of the backfill. And we are close to getting, I mean, the reliability of that processing plant is now totally different from what it was. And I will give you an example. You know, three years ago, we were worried whether we would lose part of the CIL tanks that were so thin. And so we are now at a position where we know we are through that. I think we have got one more tank to go. I think one more tank to go. And we have upgraded all the tanks. So and then the gear and the autoclaves, we have got a bit more to do on upgrading some of the pumps in the sequence. But again, I think we are out of the woods there. The other final thing is the electrical infrastructure that we have been working on. And again, we have made a lot of progress there, and we are pretty comfortable that we will be on top of that by the back of this year.
Anita Soni: Right. Last question is with respect to inflationary pressures. You are seeing, obviously, with Newmont's results, people are a little focused on cost. I am just outside of the grade changes, what kind of headwinds and tailwinds are you seeing on the cost side going into 2025?
Mark Bristow: So our job is to manage costs. And I am not sure where the sort of singly out of contract cost comes from, but it is not from us. I mean, the cost pressure and labor is there. Everyone knows it. And if you are in the United States, you do not have the luxury of having to offset it with softer currencies. So we have managed that, and again, the big focus is on, are we still not as efficient in Nevada as we are in some of our African mines? But we are getting there. And then it is, as I touched on, it is about managing down those costs because they are there. And the way to do that is one, more better efficiency, which means more skills, better skills, invest in skills, and the other is automation. And more machine control, electronic IT sort of top machine control. And so, you know, we are again, we do not, you know, I find it quite strange that people, you know, the inflation is real. When you look at the average total cash cost of the mining companies, in, you know, four years ago or three years ago, and then you look now, something is different. Most of the time, it is grade. Higher grade. And higher grade means shorter lives. Unless you find more ounces. And so that is our focus. And, you know, I, yeah, the inflation is what we have explained. We are managing it, and we have adjusted our mine plans to, you know, to use $1,400 gold because we see that is embedded in cost increase after everything we have done. And then some of the higher costs in our all-in sustaining cost is not inflation-driven. It is capital-driven. It is infrastructure-driven. And we will get over that. So that is why we do not use higher costs for those short years because we get through it. And that is very useful with the gold process it is today.
Anita Soni: Thanks. That is it for my question.
Operator: Thank you. The next question is from Tanya Jakusconek with Scotiabank. Please go ahead.
Tanya Jakusconek: Oh, great. Good morning, everyone. Thank you for taking my questions. Maybe you wanted to come back to Pueblo Viejo if I could. Mark, you gave us the recovery. Thank you for that. Looks forward to getting to that higher recovery. When do you think you will be in, when do you think you will get to your nameplate capacity now? You know, when do we look for 14 million tons per annum?
Mark Bristow: So, you know, we had this debate last time, Tanya, which you led. So we are going to make our 80% recovery by this year. We are targeting 85 next year, and the following year, we will be at the end of the following year at this stage. But, you know, we are on days and over a couple of days, even today, now we are getting runs that exceed our nameplate and get up in the recoveries, and that is part of this commissioning. You know, we have got two SAG mills, one single SAG mill, one ball mill, and a very complex flotation process. And that is what we are busy managing. And so, you know, the target, Graham, is, well, 2026 is when we go into above 800,000 ounces. That is what I know. That is the best I can do for guidance now. And on the 22nd of November, we will give you a little bit more color.
Tanya Jakusconek: Okay. And that would be when you are assuming that 14 million ton?
Mark Bristow: No. Well, that will come out over the part of the 20, yeah, 2026 is when we will get to that throughput. Yes.
Tanya Jakusconek: Okay. Helpful. Thank you. And then just maybe a higher-level question for Nevada Gold Mine. With all of these changes, and I appreciate, you know, you are, you know, getting Turquoise Ridge fixed. You are changing mine plans at Carlin. You have got Fourmile growing, but, you know, we will leave that one out for now. I think previous guidance had been that this complex could get on a hundred, that base that up to about that 3.5 million ounces. I think we are just under three, 2.8-ish or whatever we are for 2024. Long term, do you have you changed your view on what this complex can deliver excluding Fourmile?
Mark Bristow: No. Long term, no. But remember, these are, this is a massive operation. It is the biggest gold mining producer in the world by a long, most bigger than, you know, it is certainly the third biggest gold producer in the world. By the way, if you put Barrick and Newmont aside. So for us, absolutely, long term, the question is, how do we get there? And then the opportunity is still immense. You know, because we are now on top of our development ahead of the face, and now we are starting to look at opportunities, and I just touched on some in my presentation. You know, which have, you know, and so, and the bottom line here, which I think people should appreciate, is that both the two previous owners, if they had continued, we would not have Nevada Gold Mines. I mean, that is a fact. And today, we have got a serious asset. And I would point out that neither Newmont nor Barrick issued a single share for their holding in this business. And it is certainly a whole lot better than it was, and it is going to continue to improve both. And the big focus for us is cost. Is getting those costs out.
Tanya Jakusconek: One of them is always to get the volume up to help you get those costs down.
Mark Bristow: Let me just set you right there. We are constrained on the amount of refractory ore we can process. And so the linkage, and we told this to the market. There is another issue about the open cast, which is a great flexible add-on, which is Long Canyon. But there were not the reserves that people thought, and there were not the reserves that analysts had modeled. And we bought this asset, remember, based on analysts' consensus. So we did not do any due diligence, if you recall. So we are constrained by production. And the way that we can manage it, as I pointed out, is how do we manage, and in a more flexible way, how do we, how we smarter? Because right now, well, last year in particular, we did not have the flexibility of the open pits. This year, we have got even less flexibility from open pits. And a lot more feed. And the roasters, we have expanded now, and that is it. That is it. So we have a roaster go down, the way to catch up the guidance is to be able to access higher-grade ore. And so to be able to do that, we have got to have flexibility with available higher-grade ore to make up the difference. And I give you an example, you know, both Loulo-Gounkoto and Kibali are now at that stage. Where the, it is the, the way we maintain our guidance is the flexibility in mining. And we need to get Nevada to that point, and we are a whole lot better, as you will see, this quarter four, you will see some of those results.
Tanya Jakusconek: So how, when do you think you will get there? To where you put all that time and energy into the other mines and you got there, do you think we are a year away? Two years away?
Mark Bristow: Well, I think we are probably, well, we have told you, we are two years away on the costs. But we will see the cost starting to come down. And the only way we can increase throughput is to build another roaster. Or find some oxide material that we can feed into leach pads or into the oxide mills. And we have got plenty of capacity in oxide mills. At this stage, we are transitioning in the autoclaves. But we have still got capacity there as well.
Tanya Jakusconek: Alright. Maybe one other question for you, and then I do have one confirmation question just for Graham. Just for myself. You know, Mali. Lots of information and press releases. On that yourself and the job request. Just confused as to where we are on this. I thought an agreement had been put in place. You made a payment, and then we have a press release saying that, you know, the government may not renew the contract on the contract of work. Mark, where are we on this?
Mark Bristow: So you are referring to the press release the government made? And then there was a subsequent press release that we made, which was very clear about where we are. And, Tanya, you would understand it is not my intention to debate this issue publicly. We are engaged with the transitional government of Mali, and we have indicated that we are committed to finding a way to share the benefits as we have done in Tanzania and Papua New Guinea and as we do everywhere. And we are prepared to give more to the Malian government than 50%. And that is the negotiation. At the end of the day, we are very clear that we are the major flywheel in the economy of Mali. There is no other entity that makes a bigger contribution to the treasury. At the same time, we are also mindful that our job is to ensure that the national assets are properly unlocked for the benefit of all stakeholders. And, again, you know, just not having this conversation. If you are a partner with a host country, you should have this conversation. Because otherwise, you allow a situation where the costs are increased abnormally, and all the remedies we have as miners is to increase the grade and shorten the life of the mine. And we have been very clear about that in all our public statements. And so, and that is our intention. And we have absolute confidence that we can demonstrate that the value benefit to Mali and its people are best done around the model around a table, understanding exactly what Loulo-Gounkoto looked like. And we are engaged, and we will continue to engage until we work out a plan. Because we are definitely the right people to deliver that value for the benefit of Mali as we have done for the past thirty years.
Tanya Jakusconek: Look forward to concluding something on that soon. Maybe my final question for you, Graham. I just need to confirm. Forty percent of your cost, I think, is labor. Just on the inflation, wage inflation that is going on globally, would it be fair to assume that you are within that 3% to 5% on wage inflation as we look into 2025?
Graham Shuttleworth: Yeah. Tanya, that is a reasonable range to say we are in. Obviously, in different areas, you have got different pressures, but that is a reasonable range.
Tanya Jakusconek: Okay. Thank you so much for taking my questions.
Mark Bristow: Pleasure.
Operator: Mr. Bristow, there are no further questions from the conference call.
Mark Bristow: Any questions back in this room? Okay. Well, thank you, everyone. It is nice to be back in London. I wish you a good Christmas and a happy New Year, and look forward to catching up. We are on a roadshow now. We will be meeting some of you again this evening. And as I always say, for you here in the room and those on the call, we are always available if you have any questions that you forgot to answer. Now, if you want to reach out to the team, we are always available. So, again, thanks for coming. And see you all soon.